Operator: Good morning, and welcome to the JBT Corporation’s Third Quarter 2019 Earnings Conference Call. My name is Lisa, and I’ll be your conference operator today. [Operator Instructions] I will now turn the call over to JBT’s VP of Investor Relations, Megan Rattigan, to begin today’s conference. Please go ahead.
Megan Rattigan: Thank you, Lisa. Good morning, everyone, and welcome to our third quarter 2019 conference call. With me on the call are our Chairman, President and CEO, Tom Giacomini; and our Executive Vice President and CFO, Brian Deck. In today’s call, we’ll use forward-looking statements that are subject to the safe harbor language in yesterday’s press release and 8-K filing. Please be advised, we issued an amended 8-K. JBT’s periodic SEC filings also contain information regarding risk factors that may have an impact on our results. These documents are available in the Investor Relations section of our website. Also, our discussion today includes references to certain non-GAAP measures. A reconciliation of these measures to the most comparable GAAP measure can be found in the Investor Relations section of our website. Now I would like to turn the call over to Tom.
Tom Giacomini: Thanks, Megan, and good morning. As you saw in the release, JBT outperformed earnings guidance in the third quarter on lower-than-expected revenues. Margins exceeded on the strength of our aftermarket business and a better-than-anticipated contribution from our two recent acquisitions. In addition, we continued to enhance our internal operating efficiencies with ongoing benefits from our restructuring program and management through the JBT operating system. We have not seen material improvement in demand at FoodTech, as business uncertainty continues to impact our ability to convert healthy commercial activity into order commitments. However, trends remain strong at AeroTech. Additionally, organic recurring revenue increased 6% in the quarter and represented 42% of total revenue compared with 38% in the year ago period. The investment we’ve made to build our aftermarket franchise is paying dividends, creating a more resilient JBT with greater stability and higher profitability. I’ll turn the call over to Brian to provide more detail on the quarter and our expectations for the year. And afterward, I’ll talk more about what we are hearing from our customers, our aftermarket business and the actions we are taking to optimize performance in the current environment.
Brian Deck: Thanks, Tom, and good morning, everyone. Revenue of $489 million in the third quarter of 2019 increased to 2% from the year ago period. Acquisition growth of 10% was offset by a 3% decline organically, a 2% foreign exchange headwind and a 4% decline attributable to the absence of the ASC 606 transition benefit recorded in the third quarter of 2018. On a reported basis, FoodTech revenue was up 1%, a 12% gain from acquisitions was offset by a 4% decline organically, a 2% FX headwind and a 5% decline, reflecting the absence of ASC 606 transition benefit a year ago. Through the first nine months of 2019, FoodTech organic revenue was up 4%. While FoodTech’s segment margins were about flat to high – due to higher-related acquisition costs, adjusted EBITDA margins expanded 240 basis points to 19.7%. The significant margin gains were driven by the benefits of our restructuring program, the strength of our aftermarket business and a healthy performance of Proseal and Prime acquisitions. AeroTech revenue was ahead 4% in the third quarter of 2019. Growth of 5% from acquisitions offset an expected 1% decline organically when compared with the exceptional performance in the year ago period. Trends continue to be positive at AeroTech, with organic growth of 7% through the first nine months of 2019. AeroTech’s operating margins improved 250 basis points from the year ago period. Adjusted EBITDA margins for the segment expanded 280 basis points to 15.2%. AeroTech’s margins benefited from the restructuring as well as our ability to recover the impact of higher tariff cost that hit us in the year ago period. JBT’s order rates in the third quarter increased 3.5% from the year ago period, as a 9% gain at AeroTech offset flat performance at FoodTech. On the tax line, a $1.5 million discrete benefit in the third quarter reduced our tax expense below the expected 25% rate. With that, we reported diluted earnings per share from continuing operations of $1.04 compared with $0.82 in the third quarter of 2018. On an adjusted basis, diluted earnings per share was $1.28 versus $1.12 a year ago. JBT operating income was $48.6 million in the third quarter of 2019. Adjusted EBITDA expanded 15% year-over-year to $75.8 million or 15.5% margins. Let me transition to full year 2019. On the revenue line, we now anticipate organic growth of 2% to 3% down from our previous guidance of 4% to 5%. That breaks down to growth of approximately 1% at FoodTech and 5% to 6% at AeroTech. The contribution from acquisitions remains at 7%, with 7% to 8% at FoodTech and approximately 6% at AeroTech. We’ve inched up the expected FX headwind to 2% to 3%, with approximately 3% at FoodTech and 1% at AeroTech. Reflecting the $127 million of ASC 606 transition revenue included in 2018 results, 2019 GAAP revenue is expected to be flat to up 1% for the year at the JBT level. Given our ability to capture better-than-expected margins at FoodTech, we’ve increased the guidance for the segment’s full year adjusted EBITDA margins to 19% to 20%, up 50 basis points from the previous range. At AeroTech, we continue to expect adjusted EBITDA margins of 13% to 14%. Our forecast for interest and other expense is now $21 million to $22 million, reflecting in part a lower rate environment. We continue to project a tax rate of about 25% in Q4 and full year 2019, prior to the benefit of discrete items. In the fourth quarter of 2019, we expect to book a discrete tax benefit of more than $3 million or about $0.10 per share. We’ve changed full year GAAP diluted earnings per share guidance to $4.10 to $4.20, including the $0.10 per share discrete tax benefit expected in the fourth quarter. This tax benefit does not impact adjusted earnings guidance, which has been narrowed to a range of $4.80 to $4.90. On an adjusted EBITDA basis, our full year forecast remains at $290 million to $300 million, although we are more likely to come at – in at the low end of the range. Our free cash flow forecast remains as previously guided at $100 million for the full year. While we’re not providing 2020 guidance today, in light of the current environment, we’ve been asked to provide insight into JBT’s performance during the last downturn. In 2009, FoodTech orders declined about 20% versus 2008. In the following year, 2010, demand recovered, effectively closing the gap. Year-to-date in 2019, organic decline has been about half that for FoodTech. If we follow similar pattern, FoodTech orders and revenues would recover over the course of 2020, that would suggest flattish organic revenue before acquisitions for FoodTech, with a down first half and growth in the back half. Under those circumstances, along with the benefit of acquisitions and restructuring and growth at AeroTech, it suggests adjusted EBITDA could be at about 10% year-over-year. But as it’s our normal practice, we will provide 2020 guidance on our fourth quarter call in February. With that, I’ll turn the call back to Tom.
Tom Giacomini: Thanks, Brian. This summer, we conducted a former customer outreach to understand what is driving their investment decision-making in the current environment. I was encouraged by what we heard, reinforcing that JBT is strategically well positioned to serve our customers now and over the long term. For customers planning to increase capital spending, the biggest driver is labor-saving automation, along with the need to increase production and yield. For customers to gain cautious stance on new purchases, they have expressed a clear desire to improve the utilization of existing assets. In both cases, JBT’s existing strategy and investment priorities align with our customers’ feedback. In addition to our demonstrated ability to deliver systems that boost yield and efficiency, our internal product development and M&A are focused on providing labor-saving systems. As we discussed just last quarter, Prime Equipment Group, which we acquired in second quarter delivers critical labor-saving automation in poultry processing. Internally, we are engineering solutions and introducing automation into our systems to reduce labor-intensive material handling tests at the beginning and end of our production lines. Our automated guided vehicle business is 100% focused on labor-saving automation, providing the ability to run 24/7 lights-out warehouse operations. For customers looking to improve the utilization of existing systems, JBT’s ability to provide upgrades, enhancements and refurbishments is responding to customer needs and driving growth in aftermarket revenues. PRoCARE service contracts are also a critical part of enhancing customers’ equipment utilization by delivering improved system uptime. When you add PRoCARE powered by iOPS, our Internet of Things initiative, real-time operations monitoring takes customer care to the next level. As a result, we’ve enjoyed a steady increase in PRoCARE penetration with growth from the existing installed base and new equipment sales. Driven by demand for upgrades and enhancements and the success of PRoCARE, third quarter aftermarket revenues expanded 7% year-over-year on organic basis and double that, including acquisitions. Internally, we’ve optimized utilization of our aftermarket field resources by improving the scheduling and dispatching process, we’ve achieved better response times and keep our trained service professionals focused on providing service. We also actively mine our installed base and analyze needs in order to identify the greatest market potential and ensure our resources are focused appropriately. Overall, our restructuring and the JBT operating system that produce sustainable structural improvements that enhance JBT’s competitive position. On a short-term basis, the real-time insights provided by the JBT operating system enable us to proactively align costs with the current market reality. We’ve already taken steps to significantly curtail overtime and temporary workers and thoughtfully reduce direct resources and discretionary spending while protecting our strategic investments in new product development and retaining key contributors. With that, we’ll open the call to your questions. Operator?
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Larry De Maria from William Blair. Your line is open.
Larry De Maria: Thanks. Good morning, everybody. I guess, the first thing is, I think, where you’re talking about a 17% EBITDA margins for next year. Based on flattish sales and the 10% improvement potentially in EBITDA, can you tell us just break that down into what’s driving that versus structural? And what are the puts and takes on the incremental profit drivers for next year?
Brian Deck: Yes. So to be clear, in terms of the numbers for next year, we haven’t provided guidance. We’ll do that in February. But generally, if you’re looking at contributions going into next year, you’ve got the annualization of the acquisitions that we did during the midyear this year, you’ve got the continuation of our restructuring program. And then from there, you can add or subtract any impact from contribution margin from growth.
Larry De Maria: Okay. Can you talk about the pipeline? I think, obviously, your competitors are having, sort of, similar situation right, slower to close orders. But can you talk about the pipeline and how quickly that potentially could respond if we get a better environment? In other words, can net, do you have a sufficient amount of pipeline where orders can materially get better in the near to medium term? Or is everything kind of pushed out, and we’re talking about just the wholly new environment for next year at this point?
Tom Giacomini: Good morning, Larry. I would tell you that the pipeline is encouraging from our perspective. We have a lot of activity ongoing with our customers. So just as you saw, it declined quickly. I believe it could accelerate rapidly if the investment environment improves. We certainly like to see some benefit on trade. And there were some encouraging news that just recently came out with respect to poultry, if that was to really get formalized and allow the opening of China to the U.S. poultry producers, I think that be net-net a real positive in terms of the market dynamics. But I would tell you that we’re staying really close to the customers. I mentioned to you that we did the formal outreach. We understand what their priorities are. We’re making sure our projects are in line with those priorities, and we’re working very actively with our customers. And I think it’s just getting these projects through the approval process at the upper level of the companies, which is simply more of a financial or investment decision, not that the projects aren’t there and that they create real value for these companies. So I’m encouraged by the status of our pipeline. Certainly not pleased with our conversion currently, but I think if the investment environment were to change, that could turn just as quickly into a positive fashion as it has been difficult for us this year.
Larry De Maria: Okay. Thanks. And then last question, just for – maybe for clarity. Can you just maybe talk to the regions a little bit about what you’re seeing in North America versus Asia versus Europe in terms of pipeline of orders?
Tom Giacomini: Sure. Yes. I mean the pipeline is a little bit different, but I’ll just kind of speak through first how the orders transpired in the quarter, and then we’ll talk a little bit about the pipeline, which is generally incongruent. I would tell you that Asia, we had expected some improvement, particularly in the protein business and it was encouraging to see that happen in the quarter after a couple of challenging quarters leading in. So we saw some uplift there. I would tell you that Europe remained materially on track, maybe a little lighter than what we expected, but not materially different, Larry. The big and negative surprise was North America. It slowed materially when we were actually hopeful for a little bit of improvement there. And it wasn’t on the heels of a reduction in pipeline activity, it just simply was conversion of pipeline to orders. And we’re going to watch that closely in the fourth quarter and see how that transpires. Certainly, if this trade situation resolves itself, that would be particularly helpful given the fact that our challenge in the quarter and in particular or material way was in North America.
Larry De Maria: Got you. Thanks, Tom.
Operator: Our next question comes from the line of Allison Poliniak from Wells Fargo. Your line is open.
Allison Poliniak: Hi, guys. Good morning.
Tom Giacomini: Good morning, Allison.
Allison Poliniak: Just in line with some of that commentary on the orders. Any color that – is there a specific product line that’s driving it, a specific need from customers? Whether – I don’t know it’s refurbishment, I mean, any color there on the product side where the orders are coming from?
Tom Giacomini: Sure. So just in terms of our orders, we certainly saw some nice growth. As we mentioned, our recurring revenue, in particular, aftermarket being at the solid mid to high-single digits. So from our perspective that was encouraging validation of the work we’ve been talking about the last few years, improving our strategic positioning, and it was in alignment with what we talked about that customer set that when we did their formal outreach this summer that really wants to improve their utilization of their existing assets. So that’s played out materially as we expected. I would say, in particular, in the quarter, in the food business, we saw a fairly equal order challenges across protein and liquid foods, but probably a little more strong just in terms of our thinking around protein than in the liquid foods business, just a little bit more of a challenge there. And it was primarily on the new solutions that we provide. And as we look at it, the pipeline is there. So if we start to see some improvement in the investment environment that should turn pretty quickly for us.
Allison Poliniak: Great. And then – thanks for the color on relative to last like while the JBT is clearly a different business than it was before. Maybe talk a little bit more about, obviously, the operations focus and just some of the acquisitions. With that, would you expect that to drive a higher low at this point, if we do enter that R-word?
Tom Giacomini: Yes. As Brian mentioned, he kind of did a little bit of work to compare and contrast how the business was performing versus the last downturn. And I would say, if you think in terms of revenue, so far we seem to be outperforming, and that’s encouraging. And then if you look at the margins, they’re materially improved, Allison. And I would tell you, as I look at our ability to manage the business, with the implementation of the JBT operating system and the structural benefits of the restructuring, which to remind everyone was very much about improvements in how we run the business and not just short term cost takeout. I feel that, as a management team, we’re positioned to take much better advantage of the challenges that we have in front of us and that we’ve seen in terms of operating the business. And then secondly, it’s just important to understand that we pivoted to – and we’ve talked about JBT being much more of a solutions provider. And as we think about it, it’s a comprehensive relationship with the customer and our ability to help them win in their business and serve across the continuum, whether it’s new solutions or providing for the care and feeding of their existing equipment. We talked about efficiency upgrades, aftermarket business, the strong recurring revenue that we brought in through Tipper Tie and most recently Proseal, which has a really high percentage of recurring revenues. I think the portfolio is just in a much better place than it was when we started the business journey five years ago. And from my perspective, it is a different company and it’s one that, as we talked about, is structurally in a better place and is one that we can operate in a much better fashion. And it’s much more resilient than it was in the past.
Allison Poliniak: Great, thanks. That’s helpful.
Operator: Our next question comes from the line of Mig Dobre from Baird. Your line is open.
Mig Dobre: Yes, thank you. Good morning, everyone. I appreciate the comment on free cash flow. Can you maybe help us understand how we’re getting to that $100 million guidance? Obviously, the fourth quarter is panning out to be a little different than we all collectively kind of thought earlier in the year. So what has to happen with working capital accounts in order to kind of get us to the $100 million?
Brian Deck: Right. Thanks for the question, Mig. So you’re right in that our pace year-to-date is below expectations, which does put more pressure and some risk on the fourth quarter free cash flow. But if you look at kind of the way the balance sheet works, that we’ve seen, in particular, last year, is you tend to see a fair amount of earnings and EBITDA flow through, but you had a balance sheet reduction because of the seasonality. That combination really creates a ton of cash flow. If you recall, we’re over $100 million, about $110 million, $120 million in the fourth quarter of last year. This year, it’s going to require about $85 million in the fourth quarter. And looking at our forecast, while it’s not without risk, we do see our businesses performing in that manner.
Tom Giacomini: Yes. The only additional color I’d put around that, Mig, is that presumes some reasonable orders in the fourth quarter and that’s where our thinking is at right now. So that’s what another contributor to that cash flow. And that’s our expectation as we kind of think our way through Q4. And from my perspective, you put it all together, and that’s how we get to that number.
Mig Dobre: So I appreciate that, and that’s exactly kind of what I’m trying to get at, is it – I’m presuming that you’re expecting inventories to come down in the fourth quarter as far as the advanced payments. We talked earlier in the year that you expected a bit of a catch-up here. Am I to sort of understand that you’re expecting some form of catch-up in the fourth quarter on advanced payments, which have been a drag year-to-date?
Brian Deck: Yes, that’s correct. So we are presuming some improvement in the inventory turns, particularly at AeroTech. And then within FoodTech, some decent orders that would provide the cash flow from the deposits.
Mig Dobre: Okay. As you look going forward, is it fair to expect free cash flow to be in line with net income or greater than net income?
Brian Deck: Yes.
Mig Dobre: Great. And then maybe my last question. Going back to FoodTech, and I appreciate all the color on orders. One thing that I’m kind of wondering about, if I’m – and I certainly understand the cyclical challenges that we’ve got in 2019 and maybe into early 2020. But if we’re sort of looking at organic growth over the past, call it, couple of years, we’ve gone from 7% in 2017 to about 3% in 2018. We’re going to do about 1% this year. Next year, maybe we’re going to be flat. How do you think about what’s going on from a growth perspective? What’s cyclical versus maybe some other elements? And I ask because it seems like you’re making good progress on building the aftermarket business, so that part is growing. You’ve made a number of acquisitions, which from what we’ve heard and what we’re kind of seeing, they are accretive. So they’re adding to the overall story. But now, we’re also looking at four years in a row in which growth has been declining. So maybe help us parse out some of these issues and help us understand how you’re thinking about an eventual re-acceleration in growth? At what point in time are you expecting that? And how should we think about a more normalized growth rate for the company?
Tom Giacomini: Yes, Mig. And we’ve done a lot of work on this. When we think about capital allocation and we see through the cycle an ability to grow that FoodTech business 4% to 6%, as we talked about organically. And then we’d like to think that we could put in an equal part through acquisitions, getting into kind of a high single, low double digits kind of a framework. And I’d say that what we saw the last two years was a declining investment environment, really driven by some of these economic kind of uncertainties that have been playing out. And then I would expect that food business to accelerate nicely, and that would be my expectation as some – as we – as the economy starts to get some clarity on trade and some of the other issues that are ongoing. We’ve got Brexit in the backdrop. There’s just been a lot of noise. And what we like about the food business is you have to understand the underlying demand is so strong and consistent, right? So what happens is, as it relates to JBT, is our customers don’t see the level of cyclicality we do. Their orders and their production remains buoyant, but they can make decisions about whether or not they want to invest. But eventually, sure, they can wait a little while and maybe not replace a piece of equipment or invest to upgrade a piece of equipment. But eventually the need exists, and that’s why we like this as an industrial space as being one that inherently has lower cyclicality than some of the other end markets. And from my perspective, I feel strongly that, that 4% to 6% number is still good. And sure, we enjoyed 7%, and we’ve had a couple of years before that a really strong organic growth rates. But if you kind of add it up through the cycle, we feel very much that it’s a mid-single-digit organic growth rate business.
Mig Dobre: All right. Thank you.
Operator: Our next question comes from the line of Walter Liptak from Seaport Global. Your line is open.
Walter Liptak: Hi, thanks. Good morning, everyone. I wanted to ask about the fourth quarter. And typically, your fourth quarters are pretty big for both orders and shipments. And I wonder about, on the shipment side, you’ve got a nice backlog of $377 million in FoodTech. How much of that is expected to ship? And is there still some business that you have to go get incoming in the fourth quarter? And what does the product mix look like for margins because it’s usually a pretty big profit quarter as well? Thank you.
Tom Giacomini: Right. Thanks, Walt. So typically, you’re right. The fourth quarter from a revenue perspective is usually our largest quarter, just seasonally speaking. Orders, it’s certainly more sporadic. So I wouldn’t say that’s a perfect characterization. But when you look at the fourth quarter of this year, we are looking at some organic declines year-over-year, just with the state of the backlog. There is still some go get in the quarter, there always is every year, particularly, the aftermarket kind of comes and go during the course of the quarter. So that’s almost always I’ll call it book-and-ship during the quarter. That said, we’re comfortable with the guidance that we’ve given. In terms of the mix, I would say it’s comparable mix to the third quarter in terms of the aftermarket versus the equipment side.
Walter Liptak: Okay. Okay, great. And then looking at the restructuring, the margin improvement has been very good. Can you remind us how much of the restructuring benefits have you gotten so far? How much is left? And if you’ve found any other new restructuring that will have some benefits for 2020?
Brian Deck: Right. So in 2018, we saw about $7 million of restructuring benefit. We’ve seen so far this year, approximately $20 million incremental, with another $5 million, $6 million, $7 million expected in the fourth quarter. We previously guided to something north of $20 million next year, which we’re still comfortable with, with one caveat. If you recall, approximately 40% or so of the restructuring savings is in connection with variable costs, particularly direct labor. So depending on how the revenues progress over the course of the year, perhaps later in the beginning, you could see more of that benefit in the back half of the year as things improve. But overall, we’re really, really pleased with the progress that we’re making on the restructuring as represented clearly in the margins.
Tom Giacomini: Walt, I’d also mention, you heard in my prepared remarks that there’s – we’re frequently adjusting our business based on the conditions, and you heard that we have a real-time with our JBT operating system, where we maintain a fairly high component of temporary workforce, and we utilize overtime up aggressively where we have peaks, and that gives us a lot of flexibility without having to incur a lot of costs in terms of making our adjustments. But we’ve also made some adjustments in the back half of this year on direct resources and certainly have been very thoughtful about our discretionary spending. So with our operating system, every month, we have insights into all of those areas depending on what our planned production is. And our revenue rates, we understand the parameters and is kind of, so to speak, the lines on the road and where we need to operate, and we’re constantly making those adjustments, and those are the muscle, so to speak, we put into the organization. And that’s ongoing. And we don’t really think about that in terms of restructuring per se. We just think about that as being good operators, and those kind of adjustments that we take in general are just flowing through the P&L.
Walter Liptak: Okay. Sounds good. Thank you.
Operator: Our next question comes from the line of George Godfrey from CL King. Your line is open.
George Godfrey: Thank you and good morning. Two questions. First, Brian and Tom, China lift their – China lifted the ban on U.S. poultry. And I’m just wondering when that ban went in place, did you see a change for the negative in customer orders that we might see a change for the positive here in the short term?
Tom Giacomini: Sure. I think you kind of have to look, George, good question. And I commented on that a bit earlier. There’s really two things at work here. If you don’t mind, I’d like to go a little further than your question. One is, first, the tremendous pork shortfall they’re experiencing in China due to the swine fever situation. So you kind of have a duality here happening. Well, on one hand, you have a shortfall in protein availability in China. And on second hand, you have an ability to really help backfill some of that protein shortfall through China importing more protein from the U.S. and, in particular, the largest capacity available is in the poultry area in the United States. So if you think about it, it really makes sense for both countries to get this trade situation sorted out. And I would tell you, we’re certainly hopeful that, that occurs and sometimes these releases come earlier and then the details don’t follow. But I would say that in interactions already with a few of our customers in the U.S. on the poultry front, they’re very optimistic about what this would mean for their business and encouraged by this development. And ultimately, that should be good for JBT because that’s where we’ve seen some of the pressure, as I mentioned, particularly in the last two quarters in the U.S. and North America has been some – in particular, in the protein markets and poultry. So from my perspective, that was certainly good news, and I hope it gets sorted out and is allowed to happen, it would fix a pretty major issue – help fix a pretty major issue for China. And it would be beneficial to the U.S. And I believe, ultimately, beneficial to JBT.
George Godfrey: Got it. Thank you for that color. And then my second question is the margins. Really nice job here. How much of that is a revenue mix shift benefit working for you that a new equipment on FoodTech orders, perhaps a little bit light. And what I’m thinking is, as those orders come back, will that revenue mix shift put pressure back on margins, perhaps because the aftermarket is a higher-margin business? Thanks.
Brian Deck: Right. When you look at the things that impacted margins for the quarter, first and foremost, it was the benefits of the restructuring followed from a year-over-year perspective, with the aftermarket mix. And then third, the contributions from the acquisitions, particularly Proseal, which is a high-margin business, helped out. So with the lion’s share being from the restructuring, we do think we can hold margins. As equipment does grow, that does have a lower contribution margin than the aftermarket. But with the overall – with growth, we get some better coverage on our fixed expenses. So at the EBITDA level, we would expect to be able to maintain that margin.
George Godfrey: That’s great. Thank you for that clarity. I appreciate it.
Operator: [Operator Instructions] Our next question comes from the line of Andrew Obin from Bank of America. Your line is open.
David Ridley-Lane: Good morning. This is David Ridley-Lane on for Andrew. Question on win rates that you’ve seen. How has that trended over the last few quarters?
Tom Giacomini: Sure. So from us, it’s – we think about Capstone metric of just converting our pipeline. And as we’ve talked about, the pipeline of new product development is very strong with our customers and the projects we’re engaged in, but the conversion rate has certainly come down. And it’s not about lost projects because these remain active with our customers in a very material way. It’s about the ability to convert them has certainly gone down in the last few quarters. And as I mentioned, should the economic environment improve, and I think should businesses get more confidence in the trade policies and just generally what the government is doing in terms of touching business, I think the – in improving investment environment, we’ll see pretty quick acceleration in the conversion for the same reason we saw the fairly quick deceleration.
David Ridley-Lane: Understood. And then if you look at FoodTech orders, I know there’s been a number of questions on this. I’ll try to cut it a different way. If you look at the orders from, say, larger multinational type companies versus regionals and small firms, is there a disparity in how the orders have trended over the last couple of quarters?
Tom Giacomini: I would say, in particular, the deceleration that we felt in the last quarter or maybe the gap to where we had hoped to be, was felt most in North America. North America had held up very well early on when we start to see a little decline. And we saw a bigger deceleration in North America in the quarter. And interestingly, we began to see Asia turned the corner to positive investment in the quarter. So the issue being Asia not being as large as North America, North America powered was more impactful than the improvement we saw in Asia. Interestingly, Asia slowed earlier and is appearing to start to show some signs of improvement. So at some level, that’s encouraging to me. And if you start to think about North America coming a little later then, if it behaves similarly, then we’ll hopefully start to see some improvement in North America.
David Ridley-Lane: Thank you very much.
Operator: There are no further questions at this time. I will turn the call back over to Tom Giacomini for closing remarks.
Tom Giacomini: As we discussed on the call, we are pleased with the long term efficiency gains we have captured that enhance JBT’s competitive position. Thank you again for joining us this morning.
Operator: Thank you for joining today’s conference call. You may now disconnect.